Alexander Saverys: Good afternoon, good morning, good evening, everyone. Welcome to the CMB.TECH Third Quarter Earnings Call. My name is Alexander Saverys. I'm the CEO of CMB.TECH. I'm joined by Ludovic Savris, the CFO of CM.BTECH; Joris Daman, Head of Investor Relations; and Rema Derkindrren [ph], our Brand Manager in the Communications Department. We will discuss in this call our third quarter 2024 financials and some highlights. We will then zoom in to our five Marine divisions and a market update, and we will then have some concluding remarks and open the floor for questions and answers. I would like to hand it over to our CFO, Ludovic.
Ludovic Saverys: Yes. Good afternoon, everybody. If we go on the next slide, we just want to give a quick snapshot of the Q3 figures, where we ended the third quarter of 2024 with a net profit of $98.1 million. Adjusted for capital gains, this was around $37 million. Our EBITDA figure ended at $116 million for the quarter. If we look at the trailing 12-month net income of the company, we are close to $1.2 billion. Further down on the slide, you can see we ended the quarter with $326 million of liquidity in the company. Our contract backlog is still $2.06 billion. Our outstanding CapEx end of Q3 is $2.5 billion, and we end the quarter with an equity on total assets and financial covenants of 30.4%. Next slide. Zooming in on the highlights. As mentioned, our quarterly profit was $98.1 million. This brings the year-to-date profit of the company to $777.7 million. It was a very active quarter and also quarter-to-date today in terms of newbuild deliveries, we took delivery of 8 newbuilding vessels. At the same time, we sold 2 of our older tankers, the Safira and Dstasia, generating capital gain of roughly $61 million. On the same time, early September, the FSMA, the Belgian regulator ordered CMB, our reference shareholder, to make a subsequent additional payment of $0.52 in the previous tender offer and reopened the mandatory bids on CMB.TECH at $12.66. The Supervisory Board of CMB.TECH has unanimously recommended that shareholders do not tender their shares in the reopening. At the same time, we have our symbolical yet important name change from Euronav to CMB.TECH and the ticker symbol that already changed over the summer. On the commercial side, we were happy to announce that we signed another 7-year contract on our last newbuilding chemical tanker. We inaugurated our hydrogen engine research and development center in Tunesi in our partnership with Japan Hydro. And as mentioned, we're adding $57 million to our contract backlog, which stands at $2.06 billion today. The fleet is growing and continues to grow. We'll end the year 2024 at 115 vessels on the water and expect to have 156 vessels by end of the last quarter 2026. Zooming in on our P&L breakeven in the next couple of slides, we give the information for people to make a good assessment on what the open days are, our P&L breakevens, our achieved time charter equivalent weighted for the various divisions and the contract backlog. As you can see in all our divisions, we are profitable, particularly on the tanker side, where we have a weighted average on a P&L breakeven of close to $25,900, where combined weighted average earnings were $40,000 on the tankers, $31,000 on the growing fleet of Newcastlemaxes, which is quite promising. And on the containers and chemicals, most of the contracts are on long-term contracts, but still quite profitable. Looking at the contract backlog, it happens to be by luck that it's the same amount of the last quarter. Obviously, 1 quarter has passed, so contract backlog decreased, but we added $57 million on the chemical tanker -- on the previous slide -- on the right of the slide, sorry, you can see that it's roughly between $1 billion of contract backlog in tankers, $0.5 billion each on the chemical tankers and the container vessels. This slide, we're not going to go into detail, but gives the investor and the audience a look into the open days, the total amount of days. For 2024, the company has roughly 18,400 total days in the company that grows quite significantly with the deliveries of the many newbuilding vessels that come to close to 24,000 for '25 and 30,000 total days for 2026. And I'll give the floor back to Alex for zooming on the various divisions.
Alexander Saverys: Yeah. Thank you, Ludovic. I would like to walk you through a couple of slides on the various divisions we have in the various markets they are active in. Starting with an overview of what is happening in the wonderful world of shipping today. We have tried to highlight on this slide what we are seeing over the previous 3 months and the next three months as challenges and opportunities as bullish signals and bearish signals. If I start on the left-hand side, we have some bearish signals coming out of China. We see a population decline. We see specifically for the oil markets, a displacement of LNG trucks and electrical cars that lead to less consumption of oil. The stimulus measures that China has taken so far seem to have underwhelmed and are not sufficient less domestic air travel, more railing and of course, the housing crisis, which has been an overbearing theme in China for the last two, three years. In the Middle East, we have some bearish signals coming from the geopolitical risks, the obvious ones, everything which is happening in Israel around the Red Sea as well. We see that still a big portion of the gray and dark fleet is absorbing -- exports is absorbing oil towards China. That share has seemingly increased and hence has taken away market share from the legitimate and white fleet. On the oil, we have seen some lowered forecasts from some agencies. And of course, we have seen a delay of the voluntary cutback from the OPEC+ members in terms of oil supply. Now of course, when there's negatives, there's positives as well. It is not a uniform picture. On the positive side, iron ore and steel, we are very hopeful that this week in China, we will hear more about the policy support for the economy. So whereas so far, it has seemed to be less than expected. We are hoping for some positive surprises this week and going forward. The Chinese property market that stabilizes should be a positive. Iron ore supplies, I will zoom in on that later in the following slides for the next couple of years looks to increase by a very substantial amount. We have the bauxite story, which is still very much intact. So some positives around iron ore and steel. Zooming in on oil, whereas China has been not as good as we expected. India definitely has been much more positive. We are watching the OPEC+ very closely in the next couple of weeks and months to see whether there will be more supply coming from that area. And of course, geopolitical risks are a negative for our markets in certain circumstances. But of course, the disturbance it brings with it sometimes creates positives with extra tonne-miles. You can see a picture of our brand-new newbuilding Suezmax delivery, the Helios, which was delivered a couple of weeks ago in October, and that's to introduce zoom in on the tanker market and on Euronav, our tanker division. We have a trading fleet of 14 VLCCs and 21 Suezmaxes on the water. Another five VLCCs will be delivered in 2026 and 2027, and we also have three further Eco-Suezmaxes on order. We already spoke about the oil markets in general from a geopolitical point of view. But when you look at the fundamentals on VLCCs and Suezmaxes, we still see some very positive signals on the supply side. The order book is very manageable, definitely in the short-term. And on the demand side, we are seeing some positives. It is not what we were expecting yet, but we are very hopeful that in the following months, that will increase and will bring better rates. So, far in the third quarter, we realized a tick below $40,000 on RVs. Quarter-to-date, we are around $36,700. On the Suezmaxes, the numbers are $37,000 in Q3 and quarter-to-date around $38,000. Our fleet rejuvenation is in full swing. We have sold the Sapphira and Statia, as Ludovic already mentioned, and took delivery of one new Suezmax. You can see on the right side of the slide what our OpEx breakeven rates and sale-in rates are for the quarter in the different segments we are in. And of course, we have also added our FSOs who are on fixed contracts. The market on tankers over the last 20 years, you can see on this slide, you can see that very recently, at the beginning of the fourth quarter, we saw a pickup in rates. They could definitely be higher if you ask us. But nevertheless, it is a pickup, and it is better than the last 10 years average, of course, by a certain distance. On the indicators, we see some green lights, some red lights. For us, the biggest green light is the supply of tankers. The order book this year, the fleet is hardly growing, and we believe that will remain so in the next 18 to 24 months. Global oil demand and supply, we highlighted this slide to show that whether we were relatively balanced in 2024, we are expecting if the analysts start to be believed in terms of forecast for next year that there will be an oversupply in oil. An oversupply in oil could mean lower prices, could mean contango, could mean further storage, which usually bodes well for tanker shipping markets. The one story of the last six, nine months in terms of newbuilding orders have been Suezmaxes. We have seen a lot of new Suezmax orders coming in, bringing the order book to fleet to 16%. We have made this slide here to show how that relates to the older fleet and how the fleet will age in the coming years and how that new order book could be absorbed. In essence, our conclusion is that even though the order book to fleet in Suezmaxes has gone up quite substantially, we think this should be manageable going forward, definitely in the short-term because most of the ships will only deliver in 2026, 2027 and 2028. But even when they deliver, you can see that by 2030, we will have 37% of the Suezmax fleet 20 years and older, more than 244 units that will be potential scrap candidates. And with an order book of 108 ships, we think that is definitely manageable. I want to speak about the dry bulk markets, again, showing you a picture of our brand-new Mineral Eire, the Mineral Island delivered in October, a Newcastlemax delivered from our yard in Beihai in Qingdao. We have in our Dry Bulk division, Bocimar today, nine ships on the water, another 19 Newcastlemaxes on order for delivery until Q2 of 2027. We have two small mini bulkers of 5,000 deadweight delivering in 2026 as well. One more ship will be delivered in 2024. And when we look at what we have earned in Q3 and in Q4, the rates have been around $31,000, which definitely with a breakeven, which sits around $22,000 is very positive. On dry bulk, on the supply of ships, the order book is relatively low and definitely manageable. On the demand side, it goes up and down on the short term. We have seen rates come off very recently, but we are seeing a pickup this week. And hopefully, going forward, that will -- that trend will continue. On supply/demand in dry bulk we are positive. And I can highlight that with a couple of more slides here. You can see the rate evolution over the last 20 years. The rates of the Newcastlemaxes today are around the $35,000 mark, which is definitely healthy. And most of the indicators in dry bulk are green. The one very important one is, of course, the supply of ships, how many new vessels come to the market. But also when we look at the demand side of things on coal, on iron ore, we see some very positives year-on-year. Steel inventories are down, which should hopefully kickstart another restocking cycle, and that should be positive for iron ore and so for dry bulk. Same slide as on the Suezmaxes. I wanted to show a little bit how this order book to fleet of 7.3% in Capesizes, 145 new ships relates to the older tonnage. By 2030, 40% of the Capesize fleet will be 20 years or older. That's more than 800 ships. So from a supply side of view, we are very bullish on dry bulk. And then I wanted to highlight the theme we touched upon in our last quarterly earnings call is where is the supply of new iron ore going to come from worldwide. If you add up everything that has been announced by iron ore companies worldwide, by 2027, we could see more than 200 million tonnes of extra iron ore coming to the market. Now of course, it remains to be seen if all these projects will materialize, but even a fraction of that volume would bode very well for our markets and definitely for the Capesizes and Newcastlemaxes. Here, you can see a picture of yet another newbuilding that was delivered in October, the CMA CGM Dolomites, the last 6,000 TEU vessel delivered to our fleet to our container division, Delphis. We now have four ships on the water. All ships are fixed under 10-year time charter contracts to CMA CGM. And we have one more vessel. You can see the render at the bottom left of the slide, 1,400 TEU on order, which will deliver in 2026, which has been fixed for 15 years to our friends in Norway. Container markets as such have been much more positive than anticipated in 2024. This can definitely be related to what has happened in the Red Sea. So the ton mile demand for container vessels has shot up quite tremendously. But we are seeing in recent months some correction on the freight rates. We think this could trickle down to the time charters as well, because we shouldn't forget that there are a lot of new container vessels on order. The huge new order book, which is going to come on stream, together maybe with resolation of the issues at the Red Sea could add a lot of capacity to container markets and could bring rates down. Between 2023 and the end of 2025, the fleet will have grown by 25%. Usually, that brings downward pressure to the container market. So on the container markets; we are definitely much more cautious than on the other markets because of this huge supply of ships and because of what is happening in the Red Sea, which could be turned back. You can see on the right side, all our ships have been fixed at very good rates. So our spot exposure on container markets is zero. Here, you see some rates and again, some indicators like we like to do. The biggest red indicator for us is the supply of ships. There are some positives. But going forward, we would remain cautious on container markets. On the chemical tanker side, Bochem Brisbane, so one ship of every kind in October, except on the wind side, our chemical tanker, the sixth one in the series. The New Orleans was delivered in August, Bochem Brisbane in October. So that makes it six ships, four of them fixed on long-term charters, two of them operated in a pool. We have another two coming next year in Q4. Both of them have been fixed on long-term charters, one of them very recently. When we look at the chemical tanker markets, the markets are healthy. We had a bit of a quieter summer, but things have rebounded nicely, and we are operating in a spot market for our ships above $25,000, which is definitely positive and profitable, as you can see on the right side of the slide. And then I want to finish with the offshore wind. This picture that was taken was also taken in October, but was not a ship delivery. It's the launch of our CSOV, our first one in the series of six, which will be delivered next year in Q2, which has been launched in Vietnam in Ha Long Bay. When we look at Windcat, our offshore wind division and the offshore wind and also the oil and gas markets, what we see is that our CTVs achieved a good time charter equivalent of a tick above $3,000. It's a little bit less for the fourth quarter, the fourth quarter, which is traditionally a quieter quarter. On the CSOVs, we haven't yet -- we haven't fixed anything yet, but the rates for CSOVs are very healthy. You'll see it on the next slide. We are seeing very good rates for ships that are being fixed on the spot market. Now that is being underpinned by a lot of CapEx investment in the offshore wind industry. We are seeing a lot of investments this year, but also expecting a lot of investment next year in Europe and Asia mainly. A lot of vessels are fully utilized. Added to this is that the offshore oil and gas supply vessel market is very strong as well, which is again pulling the rates up for the offshore wind vessels. So all-in-all, supply/demand and the markets in offshore wind and oil and gas are very, very healthy. You can see on the right side of the slide what our expected breakeven rates will be on our CSOVs next year, what the spot market is today and what the breakeven and spot market is for our CTVs as well. We've tried to track the CSOV market quarter-by-quarter at the top side of this slide. You can see that rates were very high 6 to 9 months ago. They've come off a bit, but we are still sitting at very healthy rates, again, as I just said, underpinned by good offshore wind supply and demand dynamics, but also the oil and gas markets are eating into that market and giving more support to the rates. And the same goes for the CTVs. It's of course, a less volatile market, but you can see that the trend over the last 12 months is up. We are seeing very nice rates, which are 20% higher than what they have been over the last 5 years. That wraps up the overview of all our divisions and the market, and we try to summarize it on this slide. Supply-demand on tankers is positive. The same goes for dry bulk. The same goes for chemical tankers and offshore wind. We are turning cautious on the container markets. And then you can see where our exposure sits. Our main spot exposure is still the tanker market and the dry bulk market. In our other divisions, we have more coverage. We have added a newbuilding delivery fleet list, which I think definitely for our friends and the analyst community is useful if you want to map out what is coming, but you can see it's a very diversified fleet coming to us and roughly one ship every month will be delivered until 2027. Concluding, the profit we made, Ludovic highlighted that for this quarter. Again, it's a good profit, a good result of close to $100 million. Our year-to-date profit sits, I think below $800 million. Our dividend policy doesn't change. It's discretionary. We remain listed on Euronext and NYC might be a question that you will ask us later on, still very much committed to these listings. We have a mandatory tender offer, which is running and which will close on the 21st of November. Looking at our portfolio, we're investing for long-term earnings growth. You know that our strategy is centered around having a diversified fleet, future-proof newbuildings that we want to fix on long-term charters. And it's very important to highlight as well that the decarbonization optionality is key to our strategy. It gives us potential upside on earnings, but also gives a lot of flexibility to our customers who want to comply with low carbon regulations. Looking forward, as I said, we are basically very positive on all our markets across the board with the one exception on the container shipping side. But as you know, we are very well covered on that side. With all of this being said, I would like to hand it over to Enya to speak a bit about how we will answer your questions.
A - Enya Derkinderen: Thank you, Alexander. [Operator Instructions] I will now open the floor to questions. Kristof Samoy, you may now unmute and ask your question please.
Kristof Samoy: Hello. Good afternoon everybody. A few questions, if I may. First of all, on the backlog, we've seen sequentially roughly a flat backlog for the long-term contracts. Previously, you voiced the ambition to go to a contract backlog of around €3 billion by year-end. The reason of the flattish evolution over the third quarter, is that a plain timing element, cut-off date? Or do you also see changes in the pipeline for these long-term contracts? That's the first one. And then secondly, on India and crude oil demand. Do you have any idea how much of the oil demand in India is being fulfilled via the compliant fleet versus the gray fleet? And then as a last question, decarbonization in the shipping industry. What was your take on the last MEPC meeting, the outcome of it? And then secondly, do you see any risks that the US elections might have an impact on the decarbonization strategy of the IMO Thank you.
Alexander Saverys: Thank you, Christoph. A lot of questions. Let me start with the backlog. It is still very much our ambition to add contract backlog to our fleet. The reason we've not added a lot can be centered around, one, some delay in project confirmations, projects we have been working on. And second, the market has been relatively quiet. It's still our ambition. We're still confident that we will increase our backlog in the next couple of weeks and months. And as soon as we can say something about it, we will, of course, do so. You asked a question about MEPC. I don't know what your second question was, Christophe...
Kristof Samoy: About India, the crude oil…
Alexander Saverys: About India, yes, sorry. On the gray fleet, the dark fleet and the portion of what is going to India, it's impossible to tell. It is very clear that the two biggest markets today that are using the gray fleet and the dark fleet are India and China. But it's impossible to tell what the portion of oil barrels imported in India is gray versus dark. Maybe some analysts in this call are tracking this more closely, but it's very difficult to tell. One thing we are feeling, and we can only analyze data with hindsight and we can't predict anything, is that the portion of oil -- incremental oil going to certain destinations is probably disproportionately more being moved on gray and dark vessels than on white vessels. That's, I think, undeniable. MEPC, if I can say something about that. We think that it was actually a good meeting even though not a lot of decisions were taken, but there were 2 main takeaways from the MEPC meeting. One is that in April next year, they want to agree on this carbon levy. -- to implement it in firm legislation on the meeting thereafter in October, November of 2025. Every person I speak -- I've spoken to that came back from MEPC, and this is not always the case, I can tell you, was very, very positive that this time something would change. But then I'd like to time with your last question of the effect of the US elections. You, of course, never know. It is a very political debate, this low carbon levy at the IMO level. It's impossible for us to predict what the Trump election will have as long-term effects on the shipping markets. You can -- we can talk about this for hours and hours and hours. But right now, there's not a lot of sensible things we can say. But of course, there is always a risk that certain elements of the shipping industry and for instance, on decarbonization might be turned backwards. There's always an opportunity that certain things might go in the right direction. I would say it's too early to say. And so I'll have to disappoint you that I can't say anything more about what we think that the effect of the Trump election will be on shipping markets.
Ludovic Saverys: But maybe just to jump in as well. Eventually, regulation is one thing. Customer willingness to engage with Cmb.Tech to have dual fuel optionality, for instance on the new buildings or new projects, obviously, is the biggest driver eventually for our business model and our bottom-line. And there, what we can say throughout the feeling in the market on US election and EPC, we are seeing more and more clients that due to self-imposed regulation or upcoming regulations in their jurisdiction are coming to us. And that ties back into your first question on the backlog. I think these are larger projects. These are long-term contracts, which take more time than, I would say, a short 1 or 2-year fixture. And there, we can be quite optimistic that in the coming months and years, our business model is gaining traction.
Kristof Samoy: Okay. Thank you.
Operator: Then moving on to the next person. Frode, you may now unmute and ask your question, please.
Frode Morkedal: Thank you. Hi, guys. Just one question on CII compliance. I was looking at some of our Clarkson data. At least estimated compliance this year seems to be worsening. So more and more of the fleet to get e-rating. I'm not sure if you've seen the same. And secondly, what do you think could be the outcome of that? I mean, I'm thinking about slow steaming. Is it possible to see some extra effect from that next year?
Alexander Saverys: Thanks. And you talk about our fleet specifically or the fleet in general?
Frode Morkedal: No, it's the world fleet. So the world fleet, yes, I'm at least going around Africa or something like that appears to have worsened the CII metrics.
Alexander Saverys: Indeed. No, I think it's a very interesting one. One we have not looked at very much in detail from a global fleet point of view. But I agree with you, it could only have a positive impact on supply if certain ships need to either be rerated or need to take some corrective measure. Have you looked at specific segments of the fleet or just everything in general?
Ludovic Saverys: I think, look, tankers we are looking at 35% of the fleet now at the rating. Last year, I think it was 25%. So -- and similar increases for dry bulk and even container has been very poor apparently. So I'm thinking maybe slow saving, but you never know, given the strong markets.
Alexander Saverys: Exactly. And it will also very much depend on how our customers react to it. But everything that puts a lid on supply of shipping capacity, we will encourage and it can only be a positive. But I can't really gauge what the exact effect is going to be.
Frode Morkedal: Fair enough. On dry bulk, your coverage, can you talk a bit about that? You seem to be positive to the market. And so -- but are you looking at maybe taking more coverage, either time charter or maybe FFA hedging or something like that?
Ludovic Saverys: So no FFA hedging. We can be clear about that, definitely not in the short-term. In terms of time charter coverage, we are constantly looking at that, engaging with our customers. A lot of our ships are now being operated on trades for the first time where we deploy this new tonnage. So we're seeing the effects as well, using that data to engage with our customers to talk about longer-term charters. Still our ambition, definitely, but we have not concluded anything yet. Otherwise, we would have announced it. Underlying, we think that little weakness that we saw over the past couple of weeks should be temporary. We're actually quite bullish going into 2025.
Ludovic Saverys : Maybe jumping in also from my side on the CAI, just a bit more vessel specific for the CMB.TECH fleet. So for the Euronav division, both the VLCCs and the Suezmax fleet, even though that our average age profile has increased since the transaction, quarter-to-date or year-to-date now, we're either in CAI B level or A level. So I think it's important to note that from a CMB.TECH position, the oldest fleet is still the Euronav fleet. There, we are either A or B. And of course, for all the other divisions, those are newbuild ships just hitting the water with EDI levels at least 20% better than the required. So also there, after one year of operation, it will be translated in a CAI level of A or B. So from, let's say, our own trajectory perspective, we see that actually, this is a competitive advantage to us because we have a young fleet. We have a lot of ships being added where there have been investments made that those ships are according to the standards and can sail full power according to, let's say, the prospects of the market.
Frode Morkedal: Perfect. That's good to hear. Great. Thank you.
Alexander Saverys : Thank you.
Operator: Next up is Kimo [ph]. You may please unmute and ask your question.
Unidentified Analyst: Good morning. Thank you for taking my questions. Some of them have already been covered, but I also wanted to start by asking about your debt. Could you talk a bit about what portion of your indebtedness is floating and whether you expect the ratio to remain more or less stable as you take delivery of your newbuild program?
Ludovic Saverys : When you mean floating that is not hedged?
Unidentified Analyst: Exactly, yes.
Ludovic Saverys : Yes. Today, only a very small portion of our interest-bearing debt is fixed. Almost everything is floating. So we constantly look at it. We try to match our hedging with long-term contracts on the back because obviously, we are an operating platform, a trading platform when opportunities arise where we could sell vessels, it has proven in the past quite challenging sometimes to unwind hedges. So for now, our strategy on hedging is to remain floating.
Unidentified Analyst: That's helpful. Thank you. And I also wanted to ask about your exposure to the wind offshore sector. I was wondering what's the reasoning for focusing on the support vessels while avoiding the larger wind turbine installation vessels? Is it because of the larger CapEx? Or were there other considerations as well?
Alexander Saverys : The large CapEx is the liquidity in the market. These very large wind turbine installation vessels, it's a different market. I mean it's less commodity shipping like we like to do. So that's why we stay away from it. I mean it would change the risk profile of our company to have one asset at a very high value. So we'd rather have a lot of ships that we can trade very liquidly on the market.
Ludovic Saverys: And I think case in point there as well, when we look at our CSOVs, as Alex highlighted before, they are built for long-term demand on the offshore wind side, they can perfectly jump into a tight market on supply-demand on the oil and gas. Obviously, once you have a WTIV, these larger assets, you can -- it's close to impossible to switch them from one market to another. So we'd rather keep that flexibility.
Unidentified Analyst: Yeah, your assets are definitely more flexible. All right. That's it for me. Thank you for taking my questions.
Alexander Saverys: Thank you.
Operator: Then the next one is [indiscernible]. You may please unmute and ask your question.
Unidentified Analyst: Hello. Hello guys. I noticed that there has been a significant decrease in the company's cash balance this quarter. Could you please elaborate on whether this is primarily a short-term impact due to investments in new builds or debt or repayment or -- and additionally, could you please share the current status of your undrawn revolving credit facilities? Thank you.
Ludovic Saverys: Yeah. Thanks, Askri. So it's purely a balance sheet management where instead of leaving the cash -- hard cash on the balance sheet, we just repay our revolving credit facilities. We always like to have those types of facilities to manage our cash. So it's not much more than that. So right now, the undrawn part, I have to excuse myself to know exactly how much, but that's definitely something I can come back to it. I mean we have a liquidity which is for us cash and cash equivalents at the end of the quarter of €s320 million something, from which most of it is undrawn capacity. Basically, we try to pay back as much debt, so we can reduce the interest costs and rather replace it by a much lower commitment fee that we have with the banks.
Unidentified Analyst: That's sounds very clear. Thank you.
Operator: Then the next one is [indiscernible]. You may please unmute and ask your question.
Unidentified Analyst: Yeah. Good afternoon, everyone. I have two questions. The first question is on the CSOV market. So you have seen that the prices have gone down quite seriously. So what can you tell me about your breakeven levels? And what is the level you think is sustainable for this market in your view? And the second question is related to let me say, 2027, for example. How does your ideal fleet look like? How is your, let me say, breakdown between the different sort of vessels you have in mind? Because, yeah, you have invested heavily in, let me say, in let me say, in containers and chemical tankers, et cetera. So how does the picture look like? It's maybe a little bit difficult question, but I think it's important for investors.
Alexander Saverys: Okay. Thank you, Kian. On the CSOV, so our breakeven is around $32,000, $33,000 a day. Rates today are still very well above that, whether it's for oil and gas business or for the offshore wind business. So even though rates have come off from a top, and mind you, this is all spot market related. There's different dynamics going on for long-term business. We still think we are well above the breakeven rates that we have. On fleet composition ideally in 2027, I would say that we only have profitable ships. That's the ideal composition. So we're not going to be pinpointed on, what do you want a dry bulk or containers or tankers. I think we want to have a modern fleet by 2027, clearly. I think that's part of our strategy. You know that eventually, we want to sell our older vessels, and we want to have a very modern fleet. We want to preferably have a fleet which has dual fuel capability across the board. That's definitely an ambition we have as well. But then what the exact mix is going to be between the different segments will depend on the opportunities that we see, the price at which we can buy vessels, sometimes sell vessels, charter vessels. But as I said, we wanted to be modern and low carbon.
Unidentified Analyst: Do that in practice mean that you're going to have your tanker fleet?
Alexander Saverys: Well, in practice, look at the fleet composition of our tanker fleet, around 1/3, I would qualify as older ships. So they are obviously sales candidates. As we've always said, we don't want to sell them at any price at any time. But it is clear that our tanker fleet, existing tanker fleet will normally go down in the next couple of years because we will sell all the ships. This being said, you have seen that we've already ordered 5 new VLCCs. We've ordered two new Suezmaxes since we came back in Euronav CMB TECH. So we might also order further new buildings if the price, the design and delivery makes sense.
Unidentified Analyst: Okay. Thank you.
Joris Daman: Okay. And then Scott. Can you please unmute and ask your question please.
Unidentified Analyst: Yeah. Good afternoon. Scott here, [Indiscernible] Research. Just wanted to quickly get back to the balance sheet and ask about your equity ratio and the headroom to bond covenant currently sitting at 30%. Also, if you also have some communications regarding committed leverage target going forward?
Ludovic Saverys: Scott, thanks for the question. Obviously, we didn't put by any -- by accident the 30.4% equity on assets ratio there. We want to show it to the people that it is there. We intend to fully comply with our covenants every quarter, like always. So again, we can solve it by selling assets, by having a profitable quarter in Q4 and the quarters to come. But so we definitely intend to comply with that. On your target level, we have indicated in previous communications officially that we're targeting 65% leverage on acquisition or construction costs. So this is, I would say, throughout our newbuilding program, this is what we target on acquisition. Obviously, depending on how many long-term charters we have on a market-adjusted value, if there's less of long-term contracts, we'd rather go to 50% leverage on a market-adjusted level. If obviously, we are increasing the contract backlog tremendously with strong counterparts that have good ratings, we're there to increase that again on a margin level to 65%, maybe up to 70% on specific projects. But I would say on a going rate, 50% market adjusted is a fair assumption to take.
Unidentified Analyst: Thank you.
Joris Daman: I don't see any more hands, but we have received two additional questions in the Q&A. So will the court's decision lead to a massive sale of shares and if CMB TECH is still planning to pay a dividend this year?
Alexander Saverys: The court, the market court decision, I guess. If that will lead to a massive sale of shares. No, it will not lead to a massive sale of shares. I mean the court's decision, the first consequence was that we agreed to pay $0.52 per share, the shareholders that have tendered their shares back in March. And the second decision or consequence was that we were asked by the FSMA to reopen the bid at $12.66 to allow people that didn't sell in March to sell at that price. I think these are the two real consequences of the court's decision. And then going forward, the second question was?
Unidentified Analyst: If we plan to pay dividends this year still?
Alexander Saverys: Well, we haven't paid the dividends over the quarter and any dividend decision will be discussed in the Board and remains to be seen. I think we may say, Ludovic, that the criteria for paying dividends for us, even though we see it's discretionary, I mean the three things we always look at is, one, what is the profitability of the company; two, how does our balance sheet look like; and three, what are the investments going forward. So based on these three elements, our Board and the management will decide whether to pay dividends or not.
Enya Derkinderen: Okay. And then I see that Kristof raised his hand again. Kristof, would you like to ask something? Sorry, you can now unmute.
Kristof Samoy: Okay. Sorry about that. Two more questions, if I may. Vopak recently started with the market consultation for the Vopak Energy Park in Antwerp for ammonia storage. Is it correct to presume that CMB.TECH will not take up any role in this project in Antwerp? And then regarding the outstanding CapEx commitments is a question for Ludovic. Could you give some rough insight on how much is already -- what's the amount of secured financing for the outstanding CapEx commitments today? And what's the amount which is not yet secured? Thank you.
Alexander Saverys: Yes. So Kristof, on Vopak and their ammonia plants in Antwerp, as it stands today, we are not involved. But as it stands today, we are very much interested and positive about that development, because obviously, as you know, part of our strategy is to power our ships with ammonia. Part of our strategy eventually will also be to transport ammonia. So any initiative that creates storage of ammonia, production of ammonia and distribution of ammonia, we will always be very positive, encourage it. And as and when and if these companies would reach out to us, we will definitely engage with them to see what could be done together.
Ludovic Saverys: Okay. On the second question of the CapEx, so currently, the CapEx stands at about $2.5 billion. Rule of thumb is about $900 million per year, basically that we have going forward. Out of that CapEx, I think there's trying to say the right thing. There's about $950 million worth of ships. It's five VLCCs, four Newcastlemax and two bitumen tankers, where the financing has not been signed. Credit Committee approval has been obtained, but we're basically going through the loan documentation with all the teams here. So it's fair to say that the newbuilding program from the debt side is fully agreed with the banks, just waiting for documentation and drawing when ships come. So that's a positive. The remaining delta between what our equity contribution is from CMB.TECH in, it's roughly $300 million. That's the unfunded, I would say, CapEx from the full $2.5 billion. But there, we have a couple of vessel sales in delivery 2025 and also the excess cash flow from now until 2027 on all the existing contracts, long-term contracts, which take care of that $300 million of unfunded equity.
Kristof Samoy: Okay. Thank you.
Enya Derkinderen: That are all the questions for now.
Alexander Saverys: Okay. And I'd like to thank everyone for joining the call. And as we said before, if you have any questions, please reach out to us, and we will gladly give you more information. Thank you very much. See you next time. Bye.
Ludovic Saverys: Bye.